Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the SeaWorld Entertainment's Second Quarter 2015 Financial Results Conference Call. My name is Susan, and I'll be your conference operator today. At this time, all participants are in a listen-only mode. After conducting the prepared remarks, the management team from SeaWorld will conduct a question-and-answer session and the conference participants will be given instructions at that time. As a reminder, this conference call is being recorded. I would now like to turn the conference call over to Gene Ballesteros, Senior Director of Investor Relations and Corporate Treasurer. Please go ahead, sir.
Gene Ballesteros - Senior Director of Investor Relations & Treasurer: Thank you. Good morning and welcome to our second quarter 2015 earnings conference call. Today's call is being recorded and webcast live. Our earnings release was issued this morning and is available on the Investor Relations portion of our website at seaworldentertainment.com. Replay information for this call can be found in the press release and will be available on our website following the call. Joining me this morning is Joel Manby, our President and Chief Executive Officer; and Marc Swanson, our Chief Accounting Office and Interim Chief Financial Officer. We will begin today's call by discussing important factors impacting the business and reviewing our second quarter 2015 financial results before opening the call to questions. Before we begin, I'd like to remind everyone that our comments today will contain forward-looking statements within the meaning of the federal securities laws. These statements are subject to a number of risks and uncertainties that could cause the actual results to be materially different from those indicated, including those identified in the Risk Factors section of our Annual Report on Form 10-K filed with the Securities and Exchange Commission on February 27, 2015. These factors may be updated from time to time and will be posted on our filings with the SEC and made available on our website. We undertake no obligation to update any forward-looking statements. In addition, on the call, we will reference certain non-GAAP financial measures. More information regarding our forward-looking statements and reconciliations of non-GAAP financial measures to the most comparable GAAP measures are included in the earnings release and can also be found in our filings with the SEC. Now, I would like to introduce Joel Manby.
Joel K. Manby - President, Chief Executive Officer & Director: Thank you, Gene. Good morning everyone and thank you for joining us today. It's been four months since I joined SeaWorld Entertainment. In this relatively short period of time, we've taken action on several fronts that have driven a slight improvement in our overall demand through the first half of the year. We acknowledge that we still have much work ahead of us to recover more of our attendance space, increase revenue and improve our performance. Our attendance for the first half of 2015 primarily benefited from an improvement in demand at most of our park locations and was largely offset by record levels of rainfall in Texas and continued brand challenges in California. Although we've seen improved demand this year, we know that returning to our historical performance levels will take time and investment to address. Also we recognized that fully resolving our brand challenges in California will require sustained focus and commitment. Let me assure you that we remain steadfast in our efforts to overcome these challenges and to improve the performance of the company. Our reputation campaign was launched in March to correct misinformation about SeaWorld and address our brand challenges. Thus far we're very pleased with the feedback we received. Based on a nationwide research and in-park guest surveys, our ads and testimonials are resonating well with our guests, stakeholders and potential customers. Our TV ads are driving positive sentiment and helping set the record straight on the important facts about our company. People are receptive to our message and we are committed to continuing our efforts over the long-term. We remain focused as we look ahead to the remainder of the year as a significant portion of our annual EBITDA remains in front of us. From a revenue perspective, we expect to benefit from a favorable calendar timing in the second half of 2015. In September we should see a benefit from the timing of Labor Day, which falls a week later in 2015 than in the prior year. Now while this calendar shift does not affect all of our year-round parks as much, it does provide our seasonal parks with more operating days during their peak seasons. In October, we expect to realize another calendar benefit from the timing of Halloween, which falls on a Saturday, supplying an extra weekend day for our popular Halloween events. Finally to close out the year in November and December, our parks will celebrate the holiday season with our highly anticipated Christmas events. Both of these holiday events have historically performed well and we expect that to continue. In addition to the favorable calendar, we expect to realize a per capita benefit in the second half of 2015 as we begin to fully lap some of the more significant discounting actions implemented last year. While our discounting levels are continuing at a rate similar to 2014, our revenue base is higher due to pricing increases taken at our parks over the last 12 months. Even with these benefits, however, we remain cautious as always regarding weather at any of our locations, due to its unpredictability such as the record levels of rainfall in Texas, which impacted passholder sales at that location and will have a lingering impact on attendance at that park. On the expense side, our first half results reflect the previously discussed incremental cost related to our marketing and reputation campaigns, the bulk of which were incurred in the second quarter. With these costs now behind us, we expect further improvement due to the ongoing benefits from our cost savings announced in 2014. While we continue to efficiently operate our world-class theme parks, we have recently instituted additional spending controls throughout the organization to help ensure we remain on track to meet our 2015 adjusted EBITDA guidance. Based on these factors and our current outlook, we are reaffirming our previously provided adjusted EBITDA guidance range. Turning to 2016, I am very excited about our lineup of new attractions, which we expect to help address the challenging competitive environment, particularly in Florida. Opening at SeaWorld, Orlando next summer is Mako, the tallest, fastest and longest rollercoaster in any of Orlando's theme parks. Mako will be the centerpiece of a newly themed shark realm, which also features our walkthrough attraction, Shark Encounter, our signature dinning venue, Sharks Underwater Grill and numerous educational experiences featuring the ocean's apex predator. At SeaWorld San Antonio, we will open Discovery Point, which doubles the size of our Dolphin Lagoon. The highlight of the Discovery Point experience will be the opportunity to swim and interact with dolphins in a naturalistic setting. Discovery Point is another example of our ongoing commitment to improving our animal habitats, while providing innovative and new ways for guests to connect with the animals in our care. The last new attraction I want to quickly highlight is Cobra's Curse opening at Busch Gardens Tampa. This family friendly spin coaster features unique ride elements, such as an elevator-like vertical lift and an 80 foot tall snake icon towering over the park's Egypt realm. We look forward to sharing additional details on these and all of our new attractions on future calls. During my first few months I have continued to review and prioritize our strategic business development opportunities. Our discussions with international partners remain ongoing. I have to reiterate, though, that while we continue to make forward progress, given the long-term nature of these negotiations, we only will share more details when the time is right. I continue to work with our Board of Directors and leadership team on constructing a long-term strategy focused on driving future growth and delivering shareholder returns while also upholding the core values we have built over the past 50 years. Our new strategic vision will be communicated on Friday, November 6. Additional details about this event will be provided next week. Before I turn the call over to Marc, I want to note that we have engaged a leading executive search firm and are reviewing candidates to identify a permanent CFO. And while we continue evaluating candidates, I do want to thank Marc, who is currently servicing as Interim CFO, for his continued leadership and ensuring continuity and stability across our finance teams during this period. We still have a lot of work to do to improve the company's performance. But with the measures we have taken to-date, the actions we are implementing and strategic plan we are developing, I am confident that we are stabilizing, then we can grow our attendance space and be a stronger company than before. We know you have high expectations of us and we have equally high expectations of ourselves and we intend to continue to take action to deliver the results we know we are capable of delivering. I thank you for your continued support of SeaWorld Entertainment. And with that, I'll turn the call over to Marc to walk you through our second quarter 2015 financial results.
Marc G. Swanson - Chief Accounting Officer and Interim Chief Financial Officer: Thanks, Joel. Good morning, everyone. Thanks again for joining us. I want to begin by reiterating Joel's sentiment that we remain focused on and committed to the work ahead of us as we continue recovering and rebuilding our base. For the second quarter of 2015 the company generated revenue of $391.6 million, which is a decrease of 3% from $405.2 million in 2014. The decrease in revenue was driven by a 1.8% decline in total revenue per capita along with a 1.6% decrease in attendance. The decline in total revenue per capita from $61.54 in the second quarter of 2014 to $60.45 in 2015 was a result of an increase in promotional offerings in passholder visitation along with an unfavorable change in park attendance mix during the quarter. Attendance for the second quarter of 2015 declined due to the timing of Easter, which shifted to the spring break holiday period for some schools in our key source markets. Also contributing to the decline was reduced attendance in Texas, primarily related to record levels of rainfall during the quarter and reduced attendance in California primarily related to brand challenges. The unfavorable impact of these factors was partially offset by an improvement in demand at our other park locations, including Florida, which we attribute to increased promotional offerings, strong passholder visitation and our consumer event programs. The cost of food, merchandise and other revenues decreased 8% from $33.7 million in the second quarter of 2014 to $31.1 million in 2015. These costs represent 20.3% of related revenue in 2015 compared to 21.6% of related revenue in the prior year quarter. This improvement is a result of our cost savings initiatives, including our leveraged buying efforts. Operating expenses increased 1% from $189.2 million in the second quarter of 2014 to $191.2 million in 2015. The increase in operating expenses was a result of additional accrued incentive compensation cost compared to the second quarter of 2014 offset by a decrease in other direct labor and benefit cost as a result of the cost savings initiatives announced in December 2014. SG&A expenses increased 25% from $58.6 million in the second quarter of 2014 to $73.3 million in 2015. The increase in SG&A expenses was expected and largely related to additional marketing costs associated with our reputation campaign, additional third-party consulting costs and, to a lesser extent, an increase in labor and benefit costs driven by incremental equity compensation expense due to the new equity of grants awarded in 2015. We expect the increase in SG&A spending related to our marketing and reputation campaigns to be mostly contained in the second quarter. Adjusted EBITDA, a non-GAAP measure defined and reconciled in our earnings release, decreased 21% from $126.1 million in the second quarter of 2014 to $100.2 million in 2015. The decline in adjusted EBITDA was primarily related to the decrease in total revenue along with the expected increase in SG&A expenses related to our marketing and reputation campaigns this quarter. Depreciation and amortization expense increased 16% from $43.1 million in the second quarter of 2014 to $50.1 million in 2015. This increase was primarily due to the impact of approximately $5 million of accelerated depreciation on Gwazi, our wooden rollercoaster at Busch Gardens Tampa, which we closed earlier this year. Closing this underutilized large footprint, high operating cost coaster is one example of how our teams work to find methods of improving operational efficiency while driving cost savings. Total interest expense decreased 23% from $20.5 million in the second quarter of 2014 to $15.7 million in 2015. The decrease in interest expense was due to the early redemption of our 11% senior notes in April offset partially by interest related to our new Term B-3 loans. At current interest rates, we expect this debt refinancing to generate an average of $14 million in annual interest cost savings. GAAP net income decreased from $37.4 million in the second quarter of 2014 to $5.8 million in 2015. Diluted earnings per share decreased from $0.43 in the second quarter of 2014 to $0.07 in 2015. Adjusted net income, which excludes the loss on extinguishment of debt and the restructuring charges in 2015, was $18.7 million as of the second quarter of 2015 or $0.22 per diluted share. Deferred revenue as of the end of the second quarter was $146.5 million, an increase of 8.2% from $135.3 million at the end of the second quarter of 2014. As a reminder, deferred revenue represents revenue received in advance for season passes, multi-use admission products and other advanced purchases and is recognized over the terms of the product. We ended the second quarter with $52.9 million of cash and cash equivalents on our balance sheet, and no amounts drawn on our revolving credit facility. Total long-term debt including current maturities was $1.6 billion. Our net leverage ratio at the end of the second quarter was 4.4 times adjusted EBITDA. Based on our current debt covenant calculation, the company has $120 million of capacity in 2015 of which $65.5 million remains for certain restricted payments, including dividend declarations and share repurchases. This brings me to our outlook. The following guidance is based on current management expectations, is subject to change, and the company undertakes no obligation to update the guidance. Please refer to the discussion of forward-looking statements in our earnings release and related SEC filings for additional information. With the additional cost measures we have taken to-date, we currently continue to expect full year 2015 adjusted EBITDA to be in the previously communicated range of flat to up 3% versus 2014. Our capital expenditure guidance for 2015 remains consistent with the previously provided range of $180 million to $190 million. Additionally, we are now expecting EBITDA expenses to be down slightly in 2015 as the impact of the $50 million cost reduction and the additional cost savings we recently implemented will be largely offset by an increase in marketing and other expenses. That concludes our prepared remarks. So, we'll now open up the call for questions.
Operator: [Operator Instruction] Your first question comes from the line of Tim Conder of Wells Fargo. Your line is open.
Karen Y. Wang - Wells Fargo Securities LLC: Hey. Good morning. This is Karen calling in for Tim. Just a couple of questions from us. First you had called out Florida being particularly strong. I was wondering if you can maybe share between the Busch Garden Park and SeaWorld Park, if you could provide any color between those two parks and their performance please.
Joel K. Manby - President, Chief Executive Officer & Director: Sure. This is Joel, Karen. How are you today?
Karen Y. Wang - Wells Fargo Securities LLC: Good.
Joel K. Manby - President, Chief Executive Officer & Director: Well, as we said in our comments, the main factor that drove us down versus last quarter was the weather in Texas and California. Other than that, all of our other parks in general were doing well. We don't want to split out specifically Tampa or Orlando, but overall we were pleased with the performance there.
Karen Y. Wang - Wells Fargo Securities LLC: Okay. Great. And then as for promotions, I know there was a little bit of promotion in the first half of the year. I was wondering if you could share what your promotional plans for the second half as you plan to maybe step back some of the promotions from the first half given what you are seeing in trends or whether it's going to be consistent with the first half?
Marc G. Swanson - Chief Accounting Officer and Interim Chief Financial Officer: Hey Karen. This is Marc. Yeah. So on the promotions a couple of things drove our per cap decline in the first half of the year and especially in the quarter. And you're right, we did some more promotions this first half of the year that we didn't have last year. If you recall last year, we didn't really start discounting until post Memorial Day when we saw some challenges in our business and even those discounts took a while to implement. So for most of Q2 this year, our discounts were going up against kind of non-discounted numbers last year. Going forward, we expect that dynamic to improve a little bit. We'll be doing a similar level of discounts in the second half of this year as we did last year in the second half, but we're doing it off of a higher gate price because we took price increases in most of our parks, so even if we do the same level of discounting, we're discounting often times off of a gate price that is a couple to a few dollars higher. So that should drive improved per caps going forward.
Karen Y. Wang - Wells Fargo Securities LLC: Okay. Great. And last question from us, we saw the weather news, there was a little higher precipitation or flooding that occurred around the Tampa market more recently, I know it's happening in the third quarter. But to the extent that you can maybe comment as to whether or not there were any operating days that has been affected in this current quarter from what's going on in Tampa, that would be very helpful.
Marc G. Swanson - Chief Accounting Officer and Interim Chief Financial Officer: Sure, Karen. This is Marc again. Yeah, we did have some impacts from the Tampa weather, they had some flooding in that area which impacted our attendance, but I can tell you that that was already contemplated in the guidance that we gave, so that's all been factored in to the guidance that we reaffirmed.
Karen Y. Wang - Wells Fargo Securities LLC: Okay. Great. Thanks so much for taking the questions.
Marc G. Swanson - Chief Accounting Officer and Interim Chief Financial Officer: Sure.
Joel K. Manby - President, Chief Executive Officer & Director: Sure. Thanks, Karen.
Operator: Your next question comes from the line of Scott Hamann of KeyBanc Capital. Your line is open.
Scott W. Hamann - KeyBanc Capital Markets, Inc.: Thank you. Good morning. Couple of questions here on Texas, first of all, can you quantify the impact during the quarter in attendance or revenue from the Texas flooding?
Joel K. Manby - President, Chief Executive Officer & Director: Hey, it's good to talk to you again. How are you?
Scott W. Hamann - KeyBanc Capital Markets, Inc.: I'm great Joel.
Joel K. Manby - President, Chief Executive Officer & Director: Good, good to hear your voice. Big picture, we don't give the specifics on that, but it was significant enough for us to mention it. But as Marc already alluded, it's been factored into the guidance going forward, but it was significant enough for us to put it in our comments.
Scott W. Hamann - KeyBanc Capital Markets, Inc.: Okay.
Marc G. Swanson - Chief Accounting Officer and Interim Chief Financial Officer: Yeah. Hey, Scott, it's Marc. Just to follow-up on that. Really there was three things in the quarter that impacted attendance, one being the Easter shift which we talked about on our Q1 call. And what happened there is you had Easter last year on April 20 and this year it shifted to April 5, so effectively that peak week of Easter which is a peak spring break week started on Saturday March 28, we ended up kind of pulling four days out of Q2 into Q1 and those are peak spring break days. If you remember on our Q1 call, our attendance was up 169,000 for the quarter. And we said hey, it would have been up even without the Easter shift. So, you can kind of differ from that – the Easter shift is significant but no more than 169,000 obviously. The weather in Texas, as Joel said, every park is going to have weather throughout the year, but when it gets to a point of aggregation where it's significant, we're going to call it out, and Texas got to that point and that's why we wanted to call it out. Their rainfall and the weather they had there was really unprecedented and record breaking. One other thing that kind of can hurt you and Joel said this is in the prepared remarks is when you have that weather early in the season, you lose kind of that key pass acquisition period. So, even as the weather gets better in July and August, somebody who may come to the park in July or August who would have come back in April, they probably now are going to buy a single day admission as opposed to a pass. Schools getting close to starting again, if they're coming late July, early August, they're probably only going to visit one time. So, when you have a lot of rain early in the year, you lose that pass acquisition, you lose those multiple visits in May and June and July and you end up with maybe just a single visit later in the summer. But again, that's all factored into our guidance going forward.
Scott W. Hamann - KeyBanc Capital Markets, Inc.: Okay. That's helpful. And then in terms of the trends that you're seeing in July and early August, can you kind of give us a flavor for what's going on there lately?
Joel K. Manby - President, Chief Executive Officer & Director: Well, Scott, it's Joel. One last comment on Texas. We are, as we are heading into 2016, looking for different ways to market our season pass sales and try to pull more forward, so we're not quite as dependent on the weather impact early in the season. So, partly it was the way it's marketed that causes more of an impact on season pass from rain. But we are working to correct that. As far as July, we don't comment on that, as you know, but it has been baked in how we're trending in July from a per cap and attendance basis has been baked into our guidance for the rest of the year.
Scott W. Hamann - KeyBanc Capital Markets, Inc.: Okay. And then just finally on the incremental cost program you talked about. Can you kind of give us a sense of what types of initiatives are there, and then maybe try to size it up as you think about the impact on the balance of the year, and I guess, into 2016? Thanks.
Joel K. Manby - President, Chief Executive Officer & Director: Well, let me just comment big picture on the expenses for the reputation campaign. And I know that's kind of the question behind the question. We had some heavy upfront costs. We had a lot of production for the campaign. We had more spending there than the rest of the year. However, we are continuing it into the rest of the year. It's very important for us. It's been – it's had a huge and positive impact for us from a just changing people's opinion. So we will be continuing with it. But we've made other cost adjustments in the company in addition to what we've already announced from the 2014 restructuring. We've done some other cost reductions here in the second quarter. So that we can pay for that going forward and again that's all baked into our guidance for the rest of 2015, but Mark, do you have any another comments with that?
Marc G. Swanson - Chief Accounting Officer and Interim Chief Financial Officer: Yeah. So, Scott, I mean, we've talked a lot about in the past the $50 million cost initiative that we had, the additional cost initiatives that we've recently implemented, I mean, they're obviously not in that range, but they're significant enough to help us with covering some additional costs, and then you know to help us offset some of the weather headwind and other headwinds, that we had the quarter.
Operator: Your next question comes from the line of Joel Simkins of Credit Suisse. Your line is open.
Joel H. Simkins - Credit Suisse Securities (USA) LLC (Broker): Hey. Good morning, guys. Couple quick questions here for you, first of, Joel, one of your major competitors in Orlando just announced a pretty significant waterpark investment, how do you think about continuing to protect your flanks down there particularly with your two big waterpark assets in that market?
Joel K. Manby - President, Chief Executive Officer & Director: Hey, Joel. How are you today?
Joel H. Simkins - Credit Suisse Securities (USA) LLC (Broker): Hi. Good.
Joel K. Manby - President, Chief Executive Officer & Director: First of all, it's a very competitive market, as we said, big picture, it's the most popular tourist attraction in the world. We've admitted that there is headwinds here, and we've also admitted that we've lost some share to our competitors, and that's easy to surmise from looking at their numbers. However, we do see it strengthening again for us and that's positive. And big picture for me, it's all about stabilizing the business and moving forward. Specifically on being competitive, our first initiative is 2016 and just getting Mako in place, which we're very excited about. As you know, it's the biggest, tallest, longest, fastest coaster in the market, which we have a very good marketing plan for and then also Cobra's Curse, as I mentioned, in Busch Gardens Tampa. We are looking in 2017 and beyond of what to do with the water parks to make sure they're competitive. We have a very good packaging plan with the SeaWorld Park to make sure that pricing-wise it's competitive. And so we can't announce anything right now, but we're certainly looking at what we need to do to our water parks to make sure we stay competitive in those markets and in Orlando specifically.
Joel H. Simkins - Credit Suisse Securities (USA) LLC (Broker): That's helpful. I'm sure you don't want to show your cards too much, but as you think about your season pass strategy in Florida particularly for the local audience next year, how do you go about that, given that you sort of want to get people back in the parks, you want to show off these two interesting rides in Tampa and Orlando?
Joel K. Manby - President, Chief Executive Officer & Director: Very, very big picture, Joel, I think when you're in a stabilizing situation like we're in, and there's always a challenge for resources in any business that you're in, we have to pick where we want to win first. And we've been doing a very good job with our local market winning within 100 miles or 200 miles. And we are going to continue to do that and I think the numbers reflect that very well. So we will do what we need to do to win in that strategy. And then once we've nailed that, we can continue to move out kind of in concentric circles beyond that. So whether it's value orientation or differentiation from our competitors in a variety of ways, that's our strategy.
Joel H. Simkins - Credit Suisse Securities (USA) LLC (Broker): That's helpful. And just one final question here. Obviously I assume you had a chance to look at Mako a little bit before that was green lit. But as you settled in and you've taken some look at the Blue World Projects, what are your initial impressions? And if you don't want to share that, will we hear more about the strategy for those developments when you guys have the Analyst Day?
Joel K. Manby - President, Chief Executive Officer & Director: For Mako specifically or just Blue World?
Joel H. Simkins - Credit Suisse Securities (USA) LLC (Broker): More Blue World, yeah. I mean, will we hear more around November...
Joel K. Manby - President, Chief Executive Officer & Director: Yeah, you will. And really everything is still on track for the San Diego Blue World Project that, as we said, we expect approval this year and then we expect to start construction sometime in 2016 and open in 2018. And then as I've said before in previous calls, we will learn from that construction. As in any business, you do something the first time, you need to learn from it, make it better, find ways to do it the second time even more efficiently. And then we'll apply those learnings to our other parks as we continue to roll forward. But we will show more pictures of it and some films of it at the Analyst Day.
Joel H. Simkins - Credit Suisse Securities (USA) LLC (Broker): Thank you.
Operator: Your next question comes from the line Amanda Bryant of Barclays. Your line is open.
Amanda K. Bryant - Barclays Capital, Inc.: Great. Thank you. What gives you confidence in your expectations for improvement in revenue per capita in the back half of this year? And can you talk about how much of those expectations are driven by the calendar shifts versus your fall event line-up and your marketing campaign? Thank you.
Marc G. Swanson - Chief Accounting Officer and Interim Chief Financial Officer: Hey, Amanda. This is Marc. Yeah, there's really three things that give us a lot of confidence in the back half of the year and which allowed us to reaffirm our guidance. And the first on is the calendar benefit, the second is the per capita improvement and the third is the cost saving initiatives. So on the calendar benefit, as Joel mentioned, we pick up the extra week of summer with the later Labor Day and that will benefit our seasonal parks. And then with Halloween falling on a Saturday, that is one of our most popular events so that should be a strong additional weekend day that we get out of that. And then on the per capita, as I was alluding to earlier, we'll be doing some discounting in the second half, but we'll be comping against similar levels of discounting in the prior year. The difference, though, is that we've taken price increases at most of our parks over the last 12 months. So even if do the same level of discounting, we're discounting off of a higher gate price, often times a gate price that's a couple dollars to a few dollars higher. So we should get that per cap benefit going forward. I would also point you to our increase in deferred revenue. It's up 8.2% or just over $11 million. So, that is all revenue that will be recognized over time with those products. It won't all be recognized this year, but a significant portion will and then the rest into the future. So we feel real confident with that strength there. And lapping the discounts with the higher gate prices, we should pick up some per cap improvement. And then on the cost saving initiatives, we have the higher expenses in Q2 as we ramped up our reputational spend and some additional third-party cost. Those will moderate over the rest of the year. And then with some additional cost savings initiatives we've put into place that will help us get to the guidance as well. So when you take all three of those things together, we feel confident reaffirming our guidance.
Amanda K. Bryant - Barclays Capital, Inc.: Thank you.
Marc G. Swanson - Chief Accounting Officer and Interim Chief Financial Officer: Sure.
Operator: Your next question comes from the line of Afua Ahwoi, Goldman Sachs. Your line is open.
Afua A. Ahwoi - Goldman Sachs & Co.: Hi. Good morning. A couple of questions from me. First of all, on the marketing expense. Could you quantify how much more you spent? I don't think you've mentioned it. Because we definitely had built some of it in, but it seems like we didn't build as much as you ended up spending. And are you pretty much saying that's done in the second quarter or should we trickle some of it through the rest? And then on the per caps for this quarter, I noticed in the press release you mentioned the promotional offerings, the season pass, visitation and some mix change in the parks that affected it. But then I was actually surprised. I think, Marc, you were just talking about how the season pass visitors didn't show up as much. So I was wondering if you can reconcile those two comments. Because my question on that was, how much of the season pass visitation maybe hurt the per caps? And if we were to strip that out, would organic have been positive? And then just a final one on the October benefit from Halloween. Given it was on Friday last year, is there that much of a difference between a Friday and Saturday. I know, they're both good, but I guess I didn't realize Saturday was just that much better than a Friday? Thank you.
Marc G. Swanson - Chief Accounting Officer and Interim Chief Financial Officer: Yeah, you bet. Hey, I'll start with the – this is Marc, I'll start with the per cap question. So, my comments on the pass visitation were specific to Texas, outside of that park we have seen strong pass visitation and that was purposeful, you know, we set out for the year to grow our pass base and we've been successful with that through not only our promotional offerings, but some strong consumer events. So, outside of Texas we've been successful with that, and again you see that in the deferred revenue increase of roughly $11 million year-over-year. On the marketing spend, I think, you're kind questioning, how much to bake in, et cetera. We alluded to if you remember in Q1 we said roughly $15 million would be deployed this year to the reputation and marketing spend, an incremental $15 million. A large part of that – I don't want to give a specific number, but a large part of that hit in Q2 especially as you ramp up that spending. But going forward that level would moderate, but as Joel mentioned, I mean, we're obviously committed to the program, but it will moderate over time. And then on Halloween, yeah, a Saturday would be stronger than a Friday especially at our parks that have the day time Halloween event that is more kid centric, like here in Orlando and some of our other parks. You will drive a bigger attendance lift off of that.
Afua A. Ahwoi - Goldman Sachs & Co.: Okay. And I actually just had one more follow-up question; on the cost saves – on the new cost saves that you found, is any of that – how much of that is permanent cost saves versus maybe cost saves you found in the year for sort of to make the back half numbers or is that sort of cost saves that you didn't think about and you can sort of continue to benefit from past 2015?
Joel K. Manby - President, Chief Executive Officer & Director: Afua, it's Joel. We don't give specifics on it, but it's a little bit of both. If you want a rough, it's probably roughly half of the new stuff I would call permanent, and half of it is just adjusted to volume at parks and some things we can tweak, but...
Afua A. Ahwoi - Goldman Sachs & Co.: Okay.
Joel K. Manby - President, Chief Executive Officer & Director: But the big picture, we – other than keeping our employees safe and having a world class animal care at our parks, those are non-negotiables, other than that everything is always on the table, and I would say, we constantly look for ways to get better, and part of the issue on going to the reputation campaign we will build that in going forward. But we want to hold margin, we don't want margin to go backwards. And so, we're doing the best we can to do what we need to do in the reputation campaign and all of our marketing efforts, but keep margin the same or improve it, and that's our goal as business people and that's what we're trying to do going forward.
Afua A. Ahwoi - Goldman Sachs & Co.: Thank you.
Marc G. Swanson - Chief Accounting Officer and Interim Chief Financial Officer: And this is Marc. I did mention also in the prepared remarks the Gwazi coaster in Tampa as an example, where we had a ride that was high cost and frankly kind of underutilized. So, closing a ride like that drives some pretty good expense savings with very limited guest dissatisfaction or anything like that. So, that's kind of another example of the type of things we would look for.
Afua A. Ahwoi - Goldman Sachs & Co.: Thank you.
Joel K. Manby - President, Chief Executive Officer & Director: Sure.
Operator: The next question comes from the line Alexia Quadrani of JPMorgan. Your line is open.
James Kopelman - JPMorgan Securities LLC: Hi. This is James Kopelman in for Alexia. Good morning, guys. Given the ongoing strength in the dollar, I was wondering if you could provide some granularity about which international markets or regions are holding up well in terms of volume of tourism. How are you seeing that play out over this summer, and are there any particular areas of strength, any color will be helpful. And I have a quick follow-up. Thanks.
Marc G. Swanson - Chief Accounting Officer and Interim Chief Financial Officer: Hey, James, this is Marc. Yeah, I can tell you we have seen some weakness in international visitation, it's hard to peg exactly what it's related to, but we have seen some shortfall there at some of our locations.
James Kopelman - JPMorgan Securities LLC: Got it, and then – and are there any particular regions that you could comment or Latin America versus Europe or Brazil or any other markets?
Marc G. Swanson - Chief Accounting Officer and Interim Chief Financial Officer: No, we don't want to get into any specifics on that, but you can probably surmise that the international visitation we have would largely be into our kind of destination type parks largely into Florida and into California. So – but we don't really get into what specific countries or anything.
James Kopelman - JPMorgan Securities LLC: And let me just ask a quick follow-up on sort of consumer sentiment, there seems to be a sense that despite lower gas prices that have persisted consumers are sort of yet to open their wallets and take advantage of that, even with the employment rising, how do you view the macro landscape in terms of consumer sentiment going forward, is there some opportunity there as consumers start to spend more?
Joel K. Manby - President, Chief Executive Officer & Director: I think, big picture the sentiment has been very good. This has been a good period for the industry and for spending. As usual, we're seeing more strength on the food side, and – than we do on the merchandise side, but I think that's the only area where if sentiment continues to improve, we could see I think some more merchandise lift, but really from a ticketing and a food standpoint, we've been pretty pleased with the kind of growth and what we've seen in their willingness to spend. But do you have any other comments?
Marc G. Swanson - Chief Accounting Officer and Interim Chief Financial Officer: No, I would just add, the only other thing to take note of, and we kind of see this in our per caps is with that higher pass visitation, you're going to have – that's going to ultimately, you get more total revenue. It's going to be spread over multiple visits. So, it brings the per caps down a little, but the total revenue is higher, but those folks largely spend similar levels on culinary. And I think we've done a really good job in our parks with different dining options and specialty snack and specialty drink options, that even that repeat pass visitors feel compelled to buy some sort of culinary item. That gets a little harder on the merchandise side for somebody who comes three or four times to buy a T-shirt or something every time. So that's just a little more guidance into the per caps on that.
Joel K. Manby - President, Chief Executive Officer & Director: And one more thing I'll add to Marc's comment is where we have seen good success is, there is a high variability of what people are willing to pay, right. So we've done well whether it's the Discovery Cove, dynamic pricing, we can really drive based on where the demands, hot or cooler, and we just found that in our key products, and I know others have as well. But our fast queue products, the valet parking, special services, backstage tours, we are getting better and better at driving more revenue out of those willing to pay for it, and yet we still are able to keep a good value ticket for those who aren't willing to pay for it. And I think going forward, and we will talk about this more in November, and it's – I think it's a common theme for this industry in general. The industry in general is behind the curve a little bit on the dynamic pricing versus let's say airlines and others, and we also see that as an opportunity to make sure those who are willing to pay for more, we give them more, and yet so offer value for those who are not. So I actually think that's a little bit stronger opportunity than sentiment itself is to really be more targeted and give people who want to pay more individualized experience give that to them.
James Kopelman - JPMorgan Securities LLC: Got it. Thanks a lot.
Joel K. Manby - President, Chief Executive Officer & Director: Sure.
Operator: Your next question comes from the line of Barton Crockett at FBR Capital Markets. Your line is open.
Barton Crockett - FBR Capital Markets & Co.: The brand issue – can you hear me?
Joel K. Manby - President, Chief Executive Officer & Director: We didn't hear you. Could you start over?
Barton Crockett - FBR Capital Markets & Co.: Okay, yeah, let me get off the handset here, hold on – or the headset.
Joel K. Manby - President, Chief Executive Officer & Director: Are you in your car, Bart?
Barton Crockett - FBR Capital Markets & Co.: No, I'm not in my car, actually I have a headset on that's been working great until you guys got on me on the call here, so I'm sorry about that.
Joel K. Manby - President, Chief Executive Officer & Director: Safety is our number one concern.
Barton Crockett - FBR Capital Markets & Co.: Yeah, I appreciate that. I try not to drive and do conference calls, but efficiency always rules, right.
Joel K. Manby - President, Chief Executive Officer & Director: I never do, because I have my Chief Counsel sitting next to me.
Barton Crockett - FBR Capital Markets & Co.: Yeah, yeah, that's good. So, yeah – so hopefully you can hear me now. I – what I wanted to ask you about was a little bit more on the brand issue, so you said there continues to be some brand headwinds in California, and in particular, you know, it seems like the past is that the brand was sensitive to the new cycle, right, the brand issues really started last year, you know, Joel, before you came here when there was a lot of news coverage of the legislative efforts in California. You know, there has been a little bit more news flow of late, a number of kind of issues smaller than I think the legislative thing, but still out there. How much is your kind of attendance strength in California reflective of the news cycle, and how much of a role is that in your kind of brand out in California at this point?
Joel K. Manby - President, Chief Executive Officer & Director: Yeah, big picture Bart, and we've been – we have admitted that there are reputation issues in California, we've said that publically, but also what I am very encouraged by is the reputation campaign that we have launched and the marketing that we've done has been getting the facts out about our company and we obviously research this pre and post going into the markets and doing the testing. When we do that the TV ads we've been running definitely drive a positive sentiment for the company and offset some of the negatives that are out there that we see as you've motioned. So, the good news, as I said really in the first quarter, and it continues is that when people get the facts about the company, it definitely neutralizes or improves their sentiment about us that we will continue with it and we'll focus it where we need to focus it and I don't want to give specific too much on how we're going to do that, but we will continue to fight with the facts because the facts are on our side.
Barton Crockett - FBR Capital Markets & Co.: Okay, all right. Well, I'll guess we'll leave that aside for now, but thank you for that color. But one other kind of separate question. In Orlando, last year when the new park (45:17) attraction opened in July, that seemed like a big competitive headwind, and our hope was that over time perhaps that could turn from a headwind to maybe a help by bringing people to the market, are you starting to see that now or is it more a friend than foe at this point?
Joel H. Simkins - Credit Suisse Securities (USA) LLC (Broker): That's a great question. I think in general the answer is, yes. Orlando is the most popular market in the world, 62 million visitors a year. And as I said earlier, we've admitted we are losing share and have lost share in a vastly growing market. However, a rising tide does raise all boats and we are doing better in Florida this year. And so I would say overall, it's a good thing. I think the key thing, again, we have to always focus on how we're different. And I think the first is we do offer great value and we will continue to offer. We have very rational competitors who are really good, but they also are very rational and they raise price right with anyone. We also have to make sure that our product is positioned differently. And I think we're doing that. When you see the plans in November and see how we will do Mako or Blue World or anything that we do, it's always highly differentiated in three key ways. And I'll just hit them very, very quickly, but what we do as a company is very differentiated. There's really no one else who can inform and engage a guest like we do. We want to make entertaining fun and very meaningful at the same time. And the way we do that, how we go about doing it is, we connect animals to human beings. And when they have that emotional connection, there's something very magical that happens and it makes someone want to do something more, inspires them to be I think more as a human being as well. And why we do that is I think very important for the future of millennials and really where this country is headed is, wild animals and wild places are in trouble. And as a company, why we do what we do helps those animals. And our incredible animal care can also help animals in the wild. And I think when we show that differentiation and we do that in our marketing, people will want to come and visit us because of that. And so as part of a marketing effort that is differentiated. And I think as long as we do that and we keep good value and have really, really dynamic attractions, I do think we can differentiate our place in the market. Q – [05QF29-E Bart Crockett]>: Okay. Great. Thank you very much for that.
Operator: Your next question comes from the line of James Hardiman of Wedbush. Your line is open.
Sean Wagner - Wedbush Securities, Inc.: Hi. This is Sean Wagner on for James. I was just wondering if you had any comment or could shed any light on a couple of legislative issues, the first being the delay on the California Coastal Commission's vote on the new killer whale facility. I know you mentioned that you expect approval for Blue World this year, so it seems you aren't worried about that project at least. But the second is the report of recently renewed push by some congressmen to revise the federal regulations governing the marine mammal care. Is there any color you can provide on that and how it might impact your operations going forward if that does move forward?
Joel H. Simkins - Credit Suisse Securities (USA) LLC (Broker): What was the last question? Marine mammal? Okay.
Sean Wagner - Wedbush Securities, Inc.: There was a recent report about...go ahead.
Joel H. Simkins - Credit Suisse Securities (USA) LLC (Broker): Yeah, I'm sorry. I got it, Sean. I'll take a cut. It's Joel. On the Coastal Commission piece, we have worked with the Coastal Commission for 30-plus years and really adjusting meeting dates or schedules is not out of the ordinary. They've told us that we are scheduled for their October meeting. And we don't anticipate any construction delays at this time. But it's a very big project with a lot of capital going behind it, so we find that very normal in the process. So we don't expect any approval issues there. On the issue in Washington, we are aware that the Senate Appropriations Committee directed the USDA to seek public comment on the rules for captive marine mammals. And I think the big point here is we've always been supportive of this kind of activity, as long as it's science-based. And we will cooperate and we will be leaders here from a science-based perspective, if that happens. And we are involved in Washington and I'm involved personally in it. So I'm not particularly concerned about it because we'll be involved in it and we will be supportive as long as it's science-based.
Sean Wagner - Wedbush Securities, Inc.: All right. Thanks for the color.
Joel H. Simkins - Credit Suisse Securities (USA) LLC (Broker): You're welcome.
Operator: Your next question comes from line of Jason Bazinet of Citi. Your line is open.
Jason B. Bazinet - Citigroup Global Markets, Inc. (Broker): Good morning. I'm going to try and ask Barton's question in a slightly different way. If I just pick an arbitrary (50:30) in my model for 2008 to 2014, there's about a 3 million hit to attendance. I think the market believes, rightly or wrongly, that the arms race that's going in Orlando is going to be difficult for you guys to overcome, but the brand issues will prove transitory. And so I'm not so much asking if you agree with that hypothesis, but I think that's where the Street is. Is there a way to help the buy-side tease out how much of that would indeed be permanent pressure as opposed to transitory pressure, i.e., how much is the arms race, how much is the brand issue?
Joel H. Simkins - Credit Suisse Securities (USA) LLC (Broker): Yeah, I don't think we can comment on that specifically. However, again, we've been very open that we are well aware of the arms race, so to speak. And I think the important thing is to be differentiated and make sure that we stay in the very top three or four choices in this market. And our research shows that there's no doubt in the first visit or possibly even the second visit we aren't as high on the list as a Universal and Disney, per se, but we are definitely high on their list/ And when they come back – they come back to Orlando multiple times, as we all know, and, in fact, our thesis is they'll start coming back even more because the market is so strong. And, again, back to my differentiation points, we just have to make sure we are a very compelling and differentiated choice and get our fair share. And also the one point I didn't mention is make sure that independent hotels around us see as a very strong ally and we always make sure we are their most attractive partner as Disney and Universal move more and more to their own hotels. So look, we're not naïve to it, but we also are doing everything we can to create a strategy to make sure we're differentiated. But as far as teasing out which is which, we don't try to do that.
Jason B. Bazinet - Citigroup Global Markets, Inc. (Broker): I think the Street's hypothesis, right, is that in the past you used to benefit from the capital investment that some of your competitors would make as a rising tide would lift all boats. With three players now sort of taking the market seriously Disney, Universal and you, you're not getting the same sort of spill over dynamics that you used to get, in other words, people would go to Disney primarily, go over spend some time at your park, now they're doing Disney, Universal. And so the whole – the industry structure is just sort of changed in a three-player market. Do you agree with that being the core issue?
Joel H. Simkins - Credit Suisse Securities (USA) LLC (Broker): It is certainly an issue that we're studying hard and we're making sure that we have our place. I think there are so many players in this market to say that there's only room for two to be successful, I think is not a true statement in a market that has 62 million-plus. And we have experienced strong competition for a long, long time and we see that continuing. So, as we move forward, we'll continue to look hard at how we differentiate and I've already made the point, we haven't tried to tease it out specifically, but we're very confident we can carve out our niche by being differentiated. There's nobody else who has the kind of experience we do, and as I said earlier, creates the kind of connection we create in our parks. And the thing that gives me confidence every day is when I go to the parks which I do a lot and then I see our guest scores, and our NPS scores are just through the roof and we don't make them public, but I will say they're very comparable to all of our competitors and they're comparable to even Apple iPhone product, which is about as good as you get. So, we have excellent product and we just need to get more people come and see them.
Jason B. Bazinet - Citigroup Global Markets, Inc. (Broker): Thank you very much.
Operator: Your next question comes from the line of Tim Nollen of Macquarie. Your line is open.
Tim W. Nollen - Macquarie Capital (USA), Inc.: Hi, hope this isn't belaboring the point, but I just wanted to clarify something on the brand challenges that you've obviously spoken freely about. You talk about California in particular, just want to make sure I understand how much of the PR marketing effort is focused on California because I don't think it's necessarily a California specific issue, although I do recognize all the legislative things that we've talked about before. And then a related question, on your marketing, you said kind of the majority of the PR marketing spending was done in Q2, I wonder if that means that the actual spending tails off here or in fact you have risen to that level and you will continue to spend to promote your brand.
Joel H. Simkins - Credit Suisse Securities (USA) LLC (Broker): Well, big picture, we don't break out the reputation campaign spending. I think generically, we will do whatever we have to do to make sure the facts are known. And we are a very good company doing very good things and our 23,000 employees are deserving of making sure the facts are out there correctly. So, big picture, we'll do what we have to do, we have been very good at adjusting our spend and making cuts in other places to pay for as much of it as we can, but we don't split it out going forward. But as Marc said earlier, our guidance does already bake in our continuation of the program, and I think in any marketing program there's a heavy up and then you have a maintenance level continuing those messages and then we'll evaluate what the next wave is, and we'll communicate that if it adjusts 2016, but right now we're good for 2015.
Marc G. Swanson - Chief Accounting Officer and Interim Chief Financial Officer: Tim, this is Marc, so just, as I said in my remarks, we did give some guidance around EBITDA expenses that we said they would actually be down year-over-year. So, I think that can give you some comfort that the increase you saw in Q2 is not necessarily indicative of a run rate going forward and that it would moderate as Joel said, and we'll ultimately end the year down in EBITDA expenses per our guidance.
Tim W. Nollen - Macquarie Capital (USA), Inc.: Yes, got that. Okay, thank you.
Joel H. Simkins - Credit Suisse Securities (USA) LLC (Broker): Sure.
Operator: There are no more questions in the queue. I'll turn the call back over to Mr. Ballesteros for closing remarks.
Gene Ballesteros - Senior Director of Investor Relations & Treasurer: Thanks everyone for your questions and for your continued interest in our company. We look forward to speaking with you next quarter. That concludes our call and thanks again for your time.
Operator: Thank you again. This does conclude today's conference call. You may now disconnect.